Operator: Good morning and welcome to the Brown & Brown Incorporated Third Quarter Earnings conference call. Today’s call is being recorded. Please note that certain information discussed during this call, including answers given in response to your questions, may relate to future results and events or otherwise be forward-looking in nature and reflect our current views with respect to future events, including financial performance. Such statements are intended to fall within the Safe Harbor provisions of the securities laws. Actual results or events in the future are subject to a number of risks and uncertainties and may differ materially from those currently anticipated or desired or referenced in any forward-looking statements made as a result of a number of factors, including those risks and uncertainties that have been or will be identified from time to time in the Company reports filed with the Securities and Exchange Commission. Additional discussions of these and other factors affecting the Company’s business and prospects are contained in the Company’s filings with the Securities and Exchange Commission. With that said, I will now turn the call over to Mr. Powell Brown, our President and Chief Executive Officer. 
Powell Brown: Thank you, Lisa. Good morning everybody. We’re pleased with our organic growth in Q3. It was in line with our expectations, and there are some positive signs within our retail division that you’ll hear about. Rates are up in many places, flat in some places, and rarely but periodically down, and we also closed one acquisition, as you know, in Q3 for $5.8 million in revenue. With that, I’ll turn it over to Cory for our financial report.
Cory Walker: Thanks Powell. Now that we’ve had three straight quarters of positive internal growth, we definitely have a trend, and most importantly our largest division, retail, had its second consecutive quarter of positive growth with expanding margins, and that trend is expected to continue. Our net income for the third quarter of 2012 was $49.5 million, and that’s up 12.1% over the third quarter of 2011. Correspondingly, our net income per share for the quarter was $0.34 and that’s a 13.3% increase over the $0.30 of last year’s third quarter. From the revenue standpoint, commissions and fees for the quarter increased 16.7% to $303.8 million. That’s up from the $260.4 million in last year’s third quarter. As always, included in our press release is our normal table that summarizes the total growth rates and the internal growth rates from our core commissions and fees, which excludes profit-sharing contingent commissions and guaranteed supplemental commissions, which we refer to as GSCs. We received $12.1 million of profit-sharing contingent commissions, which represented a net increase of about $4.8 million from the 7.2 that we earned last year in the third quarter. The vast majority of this net increase was from our Arrowhead operations. For the fourth quarter of 2012, we estimate that we may receive between 2 and $3 million as long as the hurricanes behave and they stay away from Florida for the rest of the year. Additionally, we accrued $2.4 million of guaranteed supplemental commission for the third quarter of 2012. That is $540,000 less than the 2.9 that we accrued for in the third quarter of 2011. As we’ve mentioned in previous conference calls, this reductions is due to the fact that several of our insurance carrier partners have reverted back to their profit-sharing contingent commission contracts beginning this year in 2012. So presumable if the carriers’ loss ratios remain stable, this revenue should flow back to us in 2013 in the form of profit-sharing contingencies. Now looking at the internal growth schedule, we had a positive internal growth rate of 1%, which is much stronger than you initially perceive by just the raw number of 1%. For the third quarter of 2012, our total core commissions and fees increased 18.2% or $44.3 million of core commissions and fees. But within that net number was $41.8 million of acquired revenues. That means that we had $2.4 million more of commissions and fee revenues on a same store sales basis. We view this 1% organic growth as consistent with the trends that we saw developing in the second quarter when our organic growth was 3.2% on a consolidated basis. The differences in the organic growth from 3.2 to 1% centers primarily on the wholesale brokerage division and three separate program division operations. The wholesale division grew organically $1.1 million in the third quarter as compared to the $3.4 million that they grew in the second quarter. This slightly lower growth is due to lower increases in the coastal cap property rates than what we saw in the first half of 2012. We continue to expect increases in the coastal cap property rates during the fourth quarter; however, it will be at rates more similar to what we saw in the current third quarter numbers. The first of the three program operations that we’d like to highlight due to their differences from the second quarter is Proctor Financial. Proctor had $1.2 million organic growth in the second quarter; however, this quarter they had a $300,000 decline as compared to the prior year. Proctor continues to have an outstanding year of new business; however, the flow of revenue from their clients can be uneven at times, as was the case this quarter. We expect much of this quarterly difference to flow into the fourth quarter. Proctor has a very good pipeline of potential new clients also. It is important to note that the Proctor team is doing an excellent job. They have not lost a single client this year and they’ve picked up several new clients. Proctor’s revenue recognition is highly dependent upon their clients’ processing of their loan portfolio computer files and approving which loans are placed ultimately in the program. This quarter, we had several of their clients for different reasons get backed up on their loan file processing and thus has delayed some of Proctor’s revenues to be recognized. The second program operation to highlight is our operation that provides facultative reinsurance products to certain insurance carriers. One of our larger clients decided to self-absorb more of the underwriting risk and chose not to renew two large facultative reinsurance treaties, and as such that represented nearly $1 million of less commissions for us. Once again, our folks in this operation have done a great job over time. In fact, this is one of our operations that has had positive internal growth each of the last four years, and that’s during our economic Armageddon this happened. So this was a tough quarter for them, but I’m confident that they will find new accounts to write. The last program that did not have as good a quarter in the third quarter as they did in the second was our operation that provides E&O coverage for the financial services industry, and they also provide claims administrations for such claims. They had $200,000 positive growth in the second quarter but a $600,000 downdraft in the third quarter. Half of this differential is due to the claims files that we’ve closed, which is great for our clients, but the number of new financial services claims obviously in this period is down from where it was from the 2008 to 2011 period, and therefore our claims revenue is down. The other part of the drop was a large account that we helped design a larger FIR attachment point and thus reduced the premium and the related commissions on that account; so it wasn’t a lost account, it was just a restructure of existing. On our Arrowhead operations, we treat their operations as acquired operations and thus they are not reflected in our official internal growth numbers. However, on a standalone basis their internal revenue growth for the third quarter was 13%. This growth came primarily from their earthquake DIC program as well as their personal property program. If you were to take Arrowhead’s raw numbers and just add them into our internal growth numbers as if they were here for both years, our internal growth rate would go from 1% to 2.2%. Additionally as we have discussed on several webcasts during the last quarter, we are very proud of the Arrowhead team and their success of winning the right to operate a new auto after-market program that’s underwritten by Zurich. This program, which will be new organic growth for Arrowhead, is estimated to bring in 20 to $25 million of revenue over the next 12 months. Now for the most important aspect of our internal growth numbers, and that is, as we mentioned, the largest division, which is retail. They had positive growth this quarter of $1.4 million, and that’s up from the $400,000 growth that they had in the second quarter. We believe that this trend will continue, as well as the margins that came as a result. So moving on to our investment income, investment income decreased by less than 100,000, and then our other income decreased by approximately $1.7 million, and that was a combination of less books of business sales plus some litigation settlement income that we received last year. Our pre-tax margin for the third quarter of 2012 was 26.9% compared to our pre-tax margin of 27.9% in the third quarter of 2011. Sixty of those 100 basis point differential was due to that line item called change in estimated acquisition earn-out payables. With our positive internal growth revenues, our core operating profit margins when you exclude the impact of acquisitions, the contingent commissions, GSCs as well as the sales of books of business, it increased by approximately $1.6 million, and I’ll expand on that margin change in a minute. Employee compensation and benefits as a percentage of the total revenue was 49.3%. That’s an increase over the 48.7% cost factor in the third quarter of 2011. The total dollar increase on a net basis in employee compensation and benefits was approximately $22.8 million, or an 18% increase. Out of that 22.8 million, 18.2 was attributable to just the new standalone acquisition since last year; therefore, excluding the impact of the standalone acquisitions, we had $4.6 million of additional compensation on a semi-same store sales basis. Of this increase, $1.9 million was due to our new one-time 2012 additional producer commissions paid to our retail division commission producers for their growth of their 2012 production in excess of 5% over their 2011 production. Additionally, $800,000 of that increase also came from the salaries of new producers and staff teammates. Nine hundred thousand dollars was due to an increase in our group health insurance costs, and $400,000 was additional payroll taxes. Our non-cash stock-based compensation cost was up on a net basis $1 million which was due to the new grants under our stock incentive plan, and the majority of these were issued in the beginning of the year to folks in our Arrowhead acquisition. In the current quarter, other operating expenses decreased as a percentage of total revenues. Forty basis points was the drop, and that was to 14.4% of total revenues in the current third quarter, and that’s compared to 14.8% ratio in the third quarter of 2011. The other operating expenses, they increased $5.3 million, and that’s a 13.9% increase over last year. However, the new standalone acquisitions added $7.9 million of that total 5.3 cost, and therefore the change in our existing same store actually had a decrease in other operating expenses of 2.5. This net decrease primarily related to $1.3 million in lower legal fees, $1.1 million in lower claims and E&O charges, and $1 million in cost savings from our occupancy and office rental costs. Now from the standpoint of EBITDA, which we don’t really talk about but I think it’s important to kind of look at it with just basically the revenue numbers that we have in our internal growth schedule. If you look at the last year’s third quarter, we had $260 million of revenues and we had an EBITDA dollar amount of $92.2 million, and that’s basically taking our total revenues, taking out our employee benefit costs, the non-cash stock-grant compensation or other operating costs; so it basically excludes amortization, depreciation, interest and that change in acquisition earn-out. So that was a 35.4% margin. Those same margins at the end of the third quarter of 2012, we had $303.8 million of revenues. Our EBITDA was 106 – $106.4 million, and that’s a 35% margin. So trying to reconcile between those two, if you look at our acquisitions, we had $41.8 million of new acquisitions. On a blended basis, our standalone acquisitions came in at an EBITDA margin of about 29.3%, so that added $12.2 million to last year’s $92.2 million. In addition, we had about $3.7 million of additional contingencies and GSCs on a net basis, and generally that came in somewhere around 85% flow-in, so that was a little over $3 million added to it. We did have on our investment and other income, it went down by $1.7 million and that’s 100% impact on our EBITDA, so 1.7 comes out. If you look at our organic growth, that came in at $2.4 million, and generally—I’m just estimating that. Let’s just say that 50% of that falls into the EBITDA because some of it may come as new business where we’re paying our commissions 40% versus maybe increasing clients’ premiums that we pay out at only 20%, so that would be another 1.2. We did sell about $2.9 million as reflected in our internal growth schedule, and generally when we sell a piece of business (audio interference) from having to pay the producer the 20% renewal, but there’s not necessarily—depending on what you’re selling, not necessarily a lot of drop-off of other costs. So I’ve just kind of estimated an 80% factor there that would take out about 2.3, so really what’s left on a consolidated basis is about $1.6 million of increased EBITDA. Now when we issue the 10-Q, obviously you’ll have financial statements of each of our business segments and you’ll be able to kind of walk through a very similar analysis. But essentially in our retail division, we saw the EBITDA margin generally move up by almost $2 million. Likewise the program division, because it had the most revenue that got sucked out, did have a compression in their margins from 45 down to 42, and so that pretty much explains that. The one number that is probably difficult in that analysis on a segment basis to look at is what is the EBITDA margins of our acquisitions relating to each of the divisions, and generally on the retail divisions for the third quarter, we had about $8.9 million of acquired revenues. That came in at an EBITDA margin generally at about 25.7% - that’s on core, and it’s excluding the contingencies and GSCs. On the program side, the $21.5 million of acquired revenues we came in, came in roughly at about a 36% margin. We had a small amount of acquisition in wholesale, and that actually came in at nearly a 45% margin. Our services group, which obviously has the lowest margin on the TPA services, that $10.8 million of acquired revenues came in generally at about 19.5%. So the point that we have kind of made that as internal growth, especially in the retail division, starts to gradually move up like we expect, the margins and the leverage of our company is very much intact, as we’ve talked about. So moving on, if you look at our amortization and depreciation in aggregate, it was up $3.1 million from last year, and that’s primarily due to the new acquisitions. Interest expense increased to $400,000 over the prior year as a result of the increased borrowings of the $200 million that we did as a result of the Arrowhead acquisition. Our change in the estimated acquisition earn-out payable was a debit this quarter, or an expense of $858,000, and that’s compared to a credit or an income item last year’s third quarter of 810. So basically, there’s a $1.7 million swing in quote GAAP income, and that’s really almost 7/10ths of a penny. Our effective tax rate for the third quarter of 2012 was 39.4%. It’s down from the previous quarter primarily because we had a $800,000 tax refund that we received on a prior year amended tax return on some tax planning that we had. So this is a discrete item specific to the third quarter that came in. It’s nice to have it, but on an ongoing basis for the fourth quarter and future quarters, we still expect the normal tax rate to be at 40.3%, and that’s due because of the higher state income tax rates that we have as a result of our larger California exposure. So to conclude, we ended up with net income of $42.5 million, which is a nice 14.7% increase from last year’s third quarter. So with that financial overview, let me turn it back to Powell.
Powell Brown: Thanks Cory. Great report. I’d like to review now our operations, starting with retail. We were up 100 basis points in Q3 versus 30 BPs up in Q2. In Florida, we sort of look at it in three segments. South Florida property up 4 to 8%, general liability up 1 to 4%, auto rates are down slightly to up slightly. Exposure units typically in south Florida are flat. In central Florida across the I4 corridor, property rates are up 1 to 10%, GL and auto rates are typically flat to maybe up 3 to 5%, exposure units are flat to up 3%. In north Florida in the panhandle, property on the coast is up 5 to 10%, typically inland property is flat to down, GL is flat to up 2, auto is up 3 to 5%, exposure units there are typically flat. In the southeastern United States excluding Florida, coastal property is typically up 10%, maybe slightly more. Property inland is up 2 to 5%, GL and auto are either flat to up 5, and work comp rates are typically plus-5 to plus-10. Exposure units, payrolls and sales are flat to up 5%. In the northeast, excluding New York City construction which we’ll talk about in a moment, property rates are up 5 to 10, GL flat to up 5, auto and work comp are typically flat – auto might be up a little bit, work comp rates could be up as much as 10% depending on where you are. Exposures typically are flat across the board. In the midwest, property rates are up 3 to 5, GL is flat typically to maybe up a couple points, auto is flat, work comp rates are up 2 to 10. I would say payrolls and sales are up 4 to 10% in the midwest. In the west, property is flat to up 10, GL and auto are flat to up 5, work comp other than California comp is up 5 to 10%, and exposure units are typically flat to maybe up slightly. I’m going to discuss Cal-comp in the programs area, but I think one office that I called in preparation for this call this morning summed it up – it said that their clients now are either starting to grow or they already have gone out of business, and so it’s upward now hopefully and they’re seeing a little push. In terms of the employee benefits area, small group is under pretty significant rate pressure, 5 to 10% or more. Large group, you hear a lot about flat to 5% rate increases on certain accounts, certain parts of the country. Not good experience – might be 10% or more, but typically the number of employees on the plans are flat. In the personal lines area, we continue to see rate pressure on homeowners, particularly in light of the performance of that line with our risk-bearing partners. In the wholesale segment, it’s up 2.8 this quarter versus up 10 in Q2. Coastal property, RMS 11 is still a big impact. I would say that rates are typically up 2 to 10%, but I hear about large accounts where the rates are being cut, meaning rates go down. Without a wind event this year, we think property rates in the E&S space will flatten out in 2013 until we get to the next year’s storm season. Liability rates, typically except for two classes, is sort of business as usual. Rates are typically flattish, maybe up slightly. Every one in a while you hear of a rate up 5 to 10%, depending on loss experience. All rates in Florida liability in the E&S world are flat. The two exceptions – New York City contracting continues to be its own little hard market, both in primary and excess; and habitational country-wide, we continue to see upward pressure in that segment. Carriers are looking more carefully at their accounts with losses, and everyone is looking for products liability coverages. Professional liability, real estate is up 5 to 10%, lawyers are flat to up 10, the D&O product company rates are flat, public company primary rates are up 5 to 10 and yet the excess layers are down, and that can offset the increases in the primary. Financial institutions, D&Os up 10 to 15, and employment practices liability up 5 to 10%. We continue to see a spike in claims activity and wage and hour coverages getting harder and harder to place. On a binding authority basis, the third quarter was very similar to the second quarter. All carriers are trying to get rate but the rate increases are really on cat-driven property and certain GL classes, such as habitational accounts and bars and things like that, while vanilla, plain vanilla accounts are still seeing very, very competitive pricing, especially on new business. Renewals are flat to up maybe a couple points on these preferred classes. Rates on cat, property and older buildings on the coast are maybe up 5 to 10. Inland property, better construction, flat and there is some decreases that our carriers are willing to go for because they want to write this business. Most carriers have tried to build in rate increases, slight rate increases on GL, but we’re just not seeing that much of it; so our estimate for the fourth quarter is probably more of the same, especially since there has not been a wind event here in Florida and we don’t think there will be one this year. RMS 11 continues to wreak havoc in the binding authority area, but we think that rate pressure will flatten out there as well in the spring in light of no events this year. On the programs area, as Cory alluded to, we were down 3.3% versus up 7.1% in Q2. If you look inside many of our programs – not all, but many – you’d say that exposures are up slightly, rates are stable, we have strong new business, and we’re very pleased with our strong carrier partners. That said, you have Calsurance, which does a lot of professional liability in the financial services sector, and it’s been slower to come back as we all know. Proctor Financial, as Cory elaborated on, they’re writing lots of new business but it’s uneven revenue flows. Arrowhead, the earthquake market continues to be steady both on commercial and residential. Now for our California comp update. Overall, the rates are firming. Rates are up 10 to 15% overall. Large national carriers that are not work-comp specific seem to be pulling back. Specific specialty work-comp carriers are picking up that slack – that’s an opportunity for us. On the regulatory front, the WCIRB proposed initially a 12% rate increase on 1/1. There was a Senate bill that’s been introduced – there is. It’s called SB-863. It deals with work comp reform and cost-cutting. Thus, the State has amended the proposed rate increase to just plus-11%, and now the State Fund, who is the largest writer of work comp coverage in the State of California, is proposing rates that are flat to down 1%. I think this is really a question of who blinks first. We also, though, are seeing the first signs of positive audits, meaning additional premiums in California as opposed to return premiums. At FIU, Citizens rates, just to give you kind of a flavor, here in Florida are up 10% on the smaller accounts, as you know; but those accounts that are A-rated, those are TIVs over 10 million, are flat and allegedly these rates will be reviewed in January. As many of you may know, there’s a push here by our governor to depopulate Citizens, and there are several very interesting proposals in front of them right now with proposals to take out large numbers of policyholders in the spring. Now, I don’t know if anything will happen, but that’s also sitting out there. Back with FIU, other markets are pushing typically higher deductibles in the E&S space, and the ex-wind business continues to be very, very competitive. In the services space, we were up 7.7% versus 10.1% in Q2. NewQuest, an advocator group, again had great quarters and I’d like to say thank you and kudos to Tracey Lazzopina and Mike Crowe and all of their teammates because they both had great quarters. On the acquisition front, we acquired one business this quarter for 5.8 million in San Antonio, Texas – Texas Security General Agency. We’re very pleased that their team has joined Brown & Brown. I would tell you – someone will ask – as I always like to say, our acquisition pipeline is good and it’s a little bit like fishing – some days the fish are biting, and some days they aren’t, but we’re always fishing. Having said that, the election process seems to be peaking a lot of people’s interest in combining with a larger firm like ours. In wrapping up, I’d say that carriers all want rates in certain lines. Sometimes they get it; sometimes they don’t. As we look into next year, we think there is still some rate pressure in certain areas, but moderating mostly across the board except in workers’ compensation and homeowners. Finally, we’re pleased with our 1% internal growth this quarter. Retail was up again 100 BPs versus 30 in the last quarter. The vast majority of our operations are moving up, especially retail. Having said that, if Arrowhead was in the IG calculation, we would have had 2.2% internal growth. With that, Lisa, I’d like to turn it over to you and we’ll start with our first question.
Operator: Thank you, sir. [Operator instructions] Our first question comes from Keith Walsh with Citi. Please go ahead.
Keith Walsh – Citi: Hey, good morning everybody. First question for Cory – I’m not sure if I missed this in the commentary, but can you just remind us, the bonus program – how much did that impact EPS and margins in the quarter, and how do you accrue for it? Is it accrued on a quarterly basis? If you could just give us some color around that, and then I’ve got a follow-up.
Cory Walker: Yes. It is accrued on a quarterly basis. This quarter, in the third quarter, we increased it by $1.9 million. We expect for the whole year it to be between 6 and $8 million, and I think we’re on track for that, so that’s it.
Keith Walsh – Citi: Okay. And then secondly, just for Powell, Arrowhead seems to be growing, doing very well, Can you just talk a little bit about what’s going on there? Is there a business mix or a geography issue why it seems to be doing better than maybe other parts of retail? Thanks.
Powell Brown: Sure. Good morning, Keith. I will tell you that what we’re seeing is, number one, we buy businesses and invest in businesses because they have good people, and good people develop and run good businesses and attract more good people. And so over a long period of time, Arrowhead has developed a reputation for doing a very good job in running programs for our strategic partners that we work with there at Arrowhead. That’s the first thing. The second thing is they work, as you know, in three or four areas that are not easy to work in, so their four big markets prior to the addition to the automobile aftermarket program are California quake, both residential and commercial, non-standard auto, and workers’ compensation in California. So those are not easy classes of business to begin with, and so we have—so there’s lot of—it’s discombobulated in many of those markets which creates an opportunity for us. Then enter the opportunity with Zurich on top of that, which as Cory said is going to be a 20 to $25 million revenue piece for us next year, and we’re going to start getting revenue this month but we really think it will start flowing in really come 1/1, and that 20 to 25 will really start next year on a run rate. And so there are also—finally Keith, there are some carriers who we believe see us as an option to efficiently distribute their product in a manner that maybe they would be doing it a little differently. That doesn’t mean it’s bad; it just means they would do it a little differently than we could with our technology platform and the distribution force and our agents. And so we think all of that is very positive, and we’re very pleased with the acquisition, and as you know we’re really pleased with organic growth at 13% for the quarter.
Operator: Our next question comes from Sarah Dewitt with Barclays.
Sarah Dewitt – Barclays Capital: Hi, good morning. When I exclude some of the unusual timing issues from programs, I get organic growth in the quarter of about 1.7%. So how long do you think it will take you to get back to mid-single digit organic growth, and is that the right level to be thinking about in terms of when you can start expanding the margins?
Powell Brown: Well if you remember, Sarah, in September at an investor conference, we said that we anticipated internal growth to be in the range of the first and second quarter for the second half of the year – that’d be Q3 and Q4. And as Cory said, actually when you look inside some of our numbers, we actually have improvement in margins in areas already, but in aggregate – remember, we say what it is, we take the good with the challenges – it is basically—as Cory said, it’s 35% EBITDA versus 35.4%. Well, if you go back into what Cory said, there’s just one line item that I would direct you to – that’s 1.9 million of additional expense that was accrued this quarter. That’s all you’ve got to look at, and so there’s already improvement. And we believe that as we continue to grow, assuming the economy does what we hope Sarah, so if you’ve got something that we don’t know about, that’d be great; but we think that we can continue to see incremental improvement, and as we grow our business organically more quickly, that will help us lift the margins more quickly.
Sarah Dewitt – Barclays Capital: Okay. And then on the sales incentive program, do you expect to start up another incentive program next year?
Powell Brown: The answer is we don’t know yet, but I said a year ago and I’ve said repeatedly that we would like to continue to do things that stimulate desired performance, and we are going to pay those people who help us drive this company to the next level. So you can interpret that any way you want, but I have said that our program is a one-year plan and we’re not going to be doing the same plan next year, but we reserve the right to do something that would stimulate growth in less dollars over an extended period of time.
Sarah Dewitt – Barclays Capital: Okay, great. Thanks for the answers.
Operator: Our next question comes from Greg Locraft with Morgan Stanley.
Greg Locraft – Morgan Stanley: Hi, good morning. Thanks. What’s your appetite to buy back stock versus—it sounds like there’s going to be a pickup in M&A in the very near future. How do you guys think about capital deployment?
Powell Brown: Well Greg, we don’t like to use the terms never or always; however, up to this point effectively we’ve never done a stock buyback except when you talk about an employee stock purchase plan, which is being technical. But we have always thought that we were better off to hold our cash and we thought that we would be able to deploy those in high quality investment opportunities to grow our business. So that’s a nice way of saying we don’t think that hard about stock buybacks. I would not like to say never or always, as I said again, but we’re focused on taking our earnings, paying out an appropriate amount in dividends and keeping the rest in the bucket so we can invest it in our business.
Greg Locraft – Morgan Stanley: Okay. And then back to M&A, in the commentary you sort of alluded to—is it because of the change in, or potential change in tax regime would result in effectively more deals being closed in the fourth quarter, or how should we be thinking about M&A because it sounds like that should be picking up.
Powell Brown: Well here’s what I would say, Greg – first of all, we’ve been in situation where there has been potential changes in tax—or tax reform and changes before in the last several years and never seemed to get much lift. And so there’s a lot of commentary around the presidential campaign, as we would all imagine, and so I don’t believe anything, and we don’t believe anything until its done. But I would say that there is an increased interest in potentially combining with a larger firm like ours out there, and so we are talking to everybody as we always do, as I said earlier. The acquisition pipeline is always good, and you can ask me a year from now and it will probably be good, just like it was good a year ago. But people sell their businesses at different times for different reasons, and the good thing about it is we can buy them. We have the cash to do it, number one. We do what we say and say what we do, and we do it quickly; and so that’s known and people appreciate that. That doesn’t mean they have to culturally fit with us or anything else like that, but we are one that we can do it if we want to, and so that’s a good thing and we feel very positive about the outlook between now and the end of the year, and into next year. I don’t think it’s a next 90-day thing; that’s not what I’m saying. I just think that there’s a lot of activity, and we didn’t do that many in the third quarter and I hope to do more, and we hope to do more in the fourth quarter.
Greg Locraft – Morgan Stanley: Okay, great. Thanks a lot.
Operator: Our next question comes from Arash Soleimani with Stifel Nicolaus.
Arash Soleimani – Stifel Nicolaus: Hi, good morning. Just a few quick questions. The Zurich business, the aftermarket program, to what extent do you expect that to impact the margins within the programs division, and how long do you think it would take for those margins to sort of catch up with the existing program division margin?
Powell Brown: Well, we basically said that on that 20 to $25 million of revenue for the first two years, that it’s going to be probably about a 10% margin; and then we think that that will move up into the more normal range. But we’re very pleased. There is, I think it’s 150 teammates that joined us through that. About 90 to 100 are in Kansas City. I was there a week and a half ago and met all of our teammates, and so we’re very pleased with that. And what also happens is as we grow the business, because Zurich has said they want to double the business in five years, that that will also help us lift the margin. So there’s a couple good things going on there.
Arash Soleimani – Stifel Nicolaus: Great, thanks. And also in terms of your employee benefits business, we’ve seen Arthur J. Gallagher partner with a corporate exchange recently, and we’re seeing Aon working on one. Are you seeing within your own clients any desire to sort of join a corporate exchange, and if so, do you guys have a strategy for the long term there?
Powell Brown: Yeah, no, no. We actually—there are other firms, as you have alluded to, that have created their own exchanges. We have taken the position that we’re not going to form our own exchange, and I’m not as familiar with those other organizations, what they’re doing. But we are not in the risk-bearing business. We do not want to be in the risk-bearing business. What we want to be able to do is evaluate options for our clients and propose solutions. One of those might be going to an exchange, and if in fact they go to an exchange, then we will probably get paid either in a traditional manner or maybe in some way that is yet to be developed. But we are evaluating the cost of going to those exchanges on behalf of our customers. We are talking about options when it gets to 2014, but as we’ve said before, we do not want to be a risk-bearer and we believe that there will be a multitude of options that we will be able to bring to bear for our customers. So we think options are good, as opposed to putting all your eggs in one basket.
Arash Soleimani – Stifel Nicolaus: Okay, thanks. And then lastly, from the last two releases I know there’s been some kind of reallocation between retail programs, both wholesale and services. Is that available for the fourth quarter of ’11 somewhere? 
Cory Walker: You know, I’m not really sure I follow what you’re—oh, are you referring to the fact that we have retail as just one segment? I’m not sure I understand your question.
Arash Soleimani – Stifel Nicolaus: Just in the last couple quarters with the releases, it looks like some of the commissions within the segments have sort of been restated or shifted a little bit when we look back at the prior year.
Cory Walker: Yeah, okay, I understand. I understand what you’re saying – that’s right. There was—we had three small programs that were in the program side that moved over into the wholesale segment, but basically at the end of this year, it’s over. You’ll basically have all the numbers. It’s not a lot of movement, but it was three small operations. 
Arash Soleimani – Stifel Nicolaus: Okay, so we should wait until—
Cory Walker: Yeah, you know, the quarters will show you those restated numbers. It’s not a huge amount.
Arash Soleimani – Stifel Nicolaus: Okay. And within wholesale, is the slowdown in the organic, is that all related to business going from the standard—you know, a slower shift in business from the standard market to the E&S market, or is that still progressing pretty well?
Powell Brown: Yes, it’s progressing well. What I think it’s a function of simply—I mean, this is oversimplified, but pretty simply stated it’s the rate at which the renewals are going up year-over-year are moderating, and so remember you hear about rate increases in the standard market, and the pressure on rates on the standard market has not been going on as long as it has in the E&S market. So what I mean by that is using the investment community’s vernacular, they’ve been up year-over-year substantially in the E&S space, so the comps become a little tougher. Not bad – I’m just saying they become a little tougher, and rates aren’t going up as much, so that moderates the growth on the top line.
Arash Soleimani – Stifel Nicolaus: Okay, great. Thank you so much for your time.
Operator: We’ll take our next question from Josh Shanker with Deutsche Bank.
Josh Shanker – Deutsche Bank: Yes, thank you very much. My question is first of all, the earthquake program at Arrowhead, when did that incept and how many quarters will you getting organic growth out of that?
Powell Brown: Well, we did the acquisition of Arrowhead on January 9 of 2012, so effectively organic growth will actually start next January, meaning the first quarter of next year with Arrowhead.
Josh Shanker – Deutsche Bank: Yeah, embedded in that, though, as an adjustment you also in addition to the Zurich program started an earthquake program since acquiring Arrowhead?
Powell Brown: No, no, no. No, we have a residential quake program and a commercial quake program, and I don’t know where you’re picking that up but we have not—those were programs that—
Cory Walker: Those are programs that Arrowhead has had for years—
Powell Brown: Yeah.
Cory Walker: --and so that’s—but when you compare the internal growth numbers that I gave you, if you just take their numbers when they weren’t part of us and compare it to the third quarter numbers, and you do an internal growth schedule just for them independently, that’s 13%. And the growth of that came from primarily the earthquake program and the DIC, and part of that reason is, as you’ll remember, back in the late summer there was all these swarms of earthquake that kind of hit southern California, and any time the earth starts to move, you obviously get people that start saying, eh, maybe I ought to be buying earthquake. I’ve kind of bided my time; it’s been 20 years since the last earthquake, so you get stuff like that. So it basically is internal growth there, not new program development.
Powell Brown: We are working on new programs there all the time, but just as a clarification, both quake programs are longstanding programs.
Cory Walker: Right, and the auto aftermarket, it will begin showing new revenue for Arrowhead a little bit in October, but it will really start in November and December. Now, from an official internal growth schedule, we will continue—whatever revenue they get from that auto aftermarket in November and December are going to be lumped into Arrowhead’s quote acquired revenues, and so won’t really reflect as internal growth for this year. Next year when Arrowhead now is with us 12 months, we’re going to be showing their total numbers as compared to the numbers that they reported in 2012, and that will be part of our internal growth. For the fourth quarter, we’ll do a similar thing we did just now, that we’ll tell you what Arrowhead’s internal growth was on a standalone basis so you’ll have essentially both numbers.
Josh Shanker – Deutsche Bank: Understood, understood. And just—it’s a small point, but I’m trying to model that 1Q ’13 growth number in programs. The buying habits that increase the amount of earthquake purchasing which has led to a lot of the growth at Arrowhead, I assume that after one year or so, that will probably decelerate, or maybe I’m mistaken that that will persist for a while. Or should I think that Arrowhead will have 13% growth plus Zurich in 1Q ’13?
Powell Brown: No, no, no. Remember—well, like I said, when we acquired that business, we said and you may recall that we thought that business could grow at mid to high single digits. That’s what we said. So they had an exceptional quarter, number one. Number two, to answer your question specifically, what increases the buying habits of people buying earthquake coverage? Earthquakes. So if in fact there is an earthquake, the number of people that buy earthquake coverage will go up dramatically. You would find it interesting that in earthquake zones, I have been told by our teammates, that typically only around 13 to 15% of people in those zones buy earthquake coverage, and so in the event that there is a claim—I mean, if there was an event, more people will buy earthquake coverage. That’s number one. Number two to your question – why would people buy earthquake coverage from us, i.e. other than someone else, and the answer is we are typically the second or third-largest provider of earthquake coverage in the State of California, behind the California Earthquake Authority and possibly one, maybe two other non-admitted markets, and then us, meaning Arrowhead. And so longwinded answer of saying that they may have earthquake coverage placed elsewhere and they can’t get the appropriate limits, or maybe the terms and conditions on our program are better than the program that they have.
Josh Shanker – Deutsche Bank: Understood, understood. And then one final question on Zurich – can you talk a little bit about how it came to be that you struck up the relationship with Zurich? I’m interested to see how Arrowhead picks up new programs and what we can think about the future for how those might be added going forward.
Powell Brown: Okay, so Josh, what you’ve just heard us describe is unprecedented. So I don’t know of anybody picking up a program—not that it hasn’t happened, but I can’t think of one off the top of my head. So I don’t want you to think that this is some emerging trend. We would love it to be an emerging trend with us and we are capable of doing it because we’ve got the platform to do it now; however, we have had a longstanding relationship with Zurich as an organization. With the acquisition of Arrowhead, that relationship almost doubled in size, and then on top of that this came on top. So we’ve had a very good relationship with that strong partner over a long period of time and it’s grown substantially in terms of volume over the last year via the acquisition of Arrowhead and us picking up this program to distribute on their behalf.
Josh Shanker – Deutsche Bank: Did they propose it to you or did you propose it to them?
Powell Brown: They—well, let’s put it this way: we’re always talking to our strategic partners about how to grow our businesses, so I might say that could be a mutual discussion.
Cory Walker: And you know, the bottom line is that Arrowhead was able to show Zurich that we can better distribute their product and more efficiently and allow them to focus on the underwriting. And so it’s a win-win all the way around, so it worked very well.
Josh Shanker – Deutsche Bank: Very good. Well, more win-wins coming your way. 
Powell Brown: Hopefully!
Josh Shanker – Deutsche Bank: Good. Thank you.
Operator: Our next question comes from Matthew Heimermann with JP Morgan.
Matthew Heimermann – JP Morgan: Hi, good morning everybody. I think most things have been covered. Just one quick numbers question and then a question about next year. With respect to Zurich, just curious if you could give us a sense in terms of (a) how the revenue progresses quarter to quarter, is there any seasonality in the revenue that we need to think about; and two, just for modeling expense purposes, how much of the expenses are kind of S&B versus G&A, just a rough sense? You’ve talked to margins, but just curious of the expense makeup.
Cory Walker: You know, I’ll tell you – we’re going through the budget process right now for next year, so quite frankly I don’t have that kind of detail yet. We’ll be going through that, but there are preliminary estimates. I’ll just have to stick with just the fact that it starts out at the 10% margin, somewhere between 10 and 15, and in future conference calls we’ll be able to give you a little better idea when we get through the whole budget season.
Matthew Heimermann – JP Morgan: Okay, that’s fair. And then just when we think about growth for next year, I’d be curious whether or not—if we’re going to see further growth improvement next year, how much from your perspective is rates versus the economy? In other words, I guess as you—well, put another way, did you feel like the economy is the more important factor to growing your business next year, or pricing?
Powell Brown: The former.
Matthew Heimermann – JP Morgan: Okay. 
Powell Brown: And remember, Matt, just to go back, throughout this period of time, we’ve said that exposure units made up probably 75% of the economic downdraft when we came through the last four and a half or five years, and 25% would be rates. I would tell you that that’s typically the same. You can have little nuances where someone else earlier alluded to more accounts flowing into the E&S market in certain segments – yes, that helps on a temporary basis. But if you want the macro effect, we are a business, as you know, that is a proxy for the middle market economy, so as the economy improves, that helps our business improve.
Matthew Heimermann – JP Morgan: And then just with respect—I guess I’m thinking Florida more specifically, but I guess you could take this generally too. How important or material going forward is the fact that kind of the housing industry looks to be stabilizing? I say Florida because obviously that potentially has some implications, both consumer and business there; but more broadly as I kind of think about contractors, other small businesses that potentially cater to that end market.
Powell Brown: Yeah, well if you think about it – let’s go back to an interesting statistic and then I’ll answer that question. If you look at all the economic recovery since 1945 in the United States of America, the southeastern United States has led it out every time, and housing has been a big part of that relative to the construction and investment in our individual communities around in the southeastern United States. In this particular economic recovery, as you know, based on Federal Reserve data, the southeastern United States was the last of the Fed segments to lead out in terms of growth – that’s number one. Number two, the construction business is lumpy in places like Florida specifically, and I go into offices and ask people, how are your contractors doing, and some of them say they’re doing well and they see upticks; some of them are down a little bit. But the prevailing thing, Matt, is this: they don’t have a lot of work in the pipeline nine months out, and that’s what scares people. That doesn’t mean there won’t be more work; I’m just saying they don’t have a good clear view into the next, let’s say, two years. In prior cycles, you’d have a one and a half, a two-year pipeline for really good contractors. So I would tell you that the economy seems to be better here in Florida. People feel good. If you go to a restaurant, you’d see a lot of people in a restaurant out on a Wednesday or Thursday or Friday night. And the thing I like to say, and I know this resonates with you particularly in New York, is in February at 4:30 in the afternoon on a Thursday, it’s going to be dark and cold in New York City. On that same Thursday at 4:30 in the afternoon, it’s going to be sunny and beautiful here in Florida, and we have a somewhat more attractive tax climate here. And so what I mean by that is people are going to want to continue to come to Florida, and so that bodes well for the housing industry and people will have to build homes and condos, and so I think that’s a positive thing long term. It’s just slower in the recovery than any of us would like, but we’re just doing our part and trying to sell insurance and do all the best things we can for our existing customers and our new customers.
Matthew Heimermann – JP Morgan: That’s helpful. And then that nine-month visibility, I’d just be curious how that compares to the beginning of the year.
Powell Brown: I would say it’s similar, Matt, and let me give you an example. Let me give you a real example. I have a friend who runs a large contractor, and this is in the southeastern United States, and they were very large before the slowdown and they came down to maybe a third of their size, okay, at the peak. And now, they are probably about half of their size when they were at the peak, and they don’t have one thing in the pipe nine months from now – not one, and that scares them. It would scare me too. And this is a firm that is a very fine firm, and they literally—you know, mid-2000, they’d have two years of stacked up work coming out their ears. That’s just one example, but I’m just saying that’s not that uncommon.
Matthew Heimermann – JP Morgan: Okay, thank you for that.
Operator: We’ll take our next question from Ray Iardella with Macquarie.
Ray Iardella – Macquarie: Thanks and good morning. First question, I guess – is there anything to really read into the level of divested revenues of, I guess, through the first three quarters? I guess looking at it, $9 million compared to $4.3 million last year, and then 2 million the year before.
Cory Walker: No, we did have some rather large books that we did decide that it was best to sell at the beginning of the year, but you have those things here and there and it’s just this year was just a few larger ones.
Ray Iardella – Macquarie: Okay. The other thing to maybe, Powell, to go into your commentary last quarter about the difference in pricing between regionals versus nationals, is that something you’re still seeing, and maybe could you try to quantify the spread generally speaking?
Powell Brown: I would say, a broad-based statement, regionals tend to be more laser-focused in areas of the country that they are based in and that they have a lot of knowledge about, and classes of business that they feel really comfortable in doing. So yes, I think there continues to be a difference, and it can be pronounced, Ray, on some accounts and it can not pronounced on other accounts. So let me give you an example. Let’s pick a good one – you might have a food distributor. Not everybody wants food distributors, but if you had a food distributor and the national carrier wanted a 10% rate increase, and the regional carrier felt good about food distributors in their so-called region of the country, they may do it for flat, they may do it for 3%, 5%, up, or in some instances they might go down on the rate. So I don’t think there’s one way to say—I hate to say that, Ray, because you can’t give any specifics. It’s more generalizations, but I would tell you that typically regional companies are more competitive than national companies if they want to be, particularly on certain classes of business in areas around the country. I would say, the pricing—there’s not one statement, it’s 5% difference. It’s not like that. It could be the same on a bunch of accounts. They could be 10% less, they could be closer than that, but it just depends on the account, the loss experience, where you are in the country.
Ray Iardella – Macquarie: Got it, okay. That’s a fair statement. The other thing maybe, Cory, going back to your commentary about contingents and guaranteed supplementals, just curious – I mean, is kind of what you’re thinking about is all else equal, if the loss ratio of your risk-bearing partners stayed the same from this year to next year, contingents should actually increase just given the switch from supplementals to contingents? Is that the right way to think about it? 
Cory Walker: On that portion of it, because basically the carriers that used to pay us GSCs, they stopped paying us GSCs this year so they’ll calculate what the contingent amount would have been earned for this year and they’re going to pay it in 2013. But since it’s loss ratio based, you could have a big loss at the end of the year and therefore we can’t accrue it and we have to wait. So theoretically, if everything stays the same, we do what we think we should do, those GSCs that quote were eliminated from the current year 2012 revenue should naturally flow into the contingencies.
Ray Iardella – Macquarie: Okay, that’s helpful. The only other question and maybe a quick numbers question – the facultative reinsurance program that you had referenced, how large is that usually on an annual basis in terms of revenues?
Powell Brown: That business is about $3.5 million—
Cory Walker: But 2 million now.
Ray Iardella – Macquarie: Okay. Thanks again for all your answers.
Operator: Our next question comes from Brett Huff with Stevens Incorporated. 
Brett Huff – Stevens: Good morning Powell and Cory. A couple quick questions – a lot of this stuff has been gone over. I just want to dive into the organic growth question again. Cory, just remind me if these numbers are right – so wholesale, you said, was 1.1 million of organic growth this quarter versus 3.4 last quarter. Is that right?
Cory Walker: That’s correct.
Brett Huff – Stevens: So that’s about roughly 100 basis points, and you mentioned that you thought that would stay lower, or you thought it’d be sort of in a similar range in 4Q. But then I think you also said, and Powell, you may have alluded to this, that the rate increases are maybe switching more from wholesale to more regular admitted business. Did I hear that right? So could that pick up some of the rate slack?
Powell Brown: No, no, no. The implication is remember, there’s been pretty significant rate pressure for a longer period of time, Brett, on the wholesale segment, and I was trying to give you the nuance of saying the rates in that segment are coming down now, and so the year-over-year comparisons are different. In the standard market, the rates have not been going up as long, but still rates are in some lines of business up, but they could be moderating too, we believe, into next year. That’s what we were saying.
Brett Huff – Stevens: Okay. Got you. And then Cory, on the Proctor, it was a swing of 1.2 million of organic growth in 2Q and a $300,000 decline this year, so a $1.5 million or so. You mentioned that a good chunk of that would flow in in 4Q. Am I hearing that right?
Cory Walker: Well yes, and exactly how much of that flows in is still in large part dependent upon how the clients process it. So clearly the $300,000 that’s down for this quarter just from prior year, and then some level of that will flow in higher, so it’s going to be somewhere above 300,000, up to a million.
Brett Huff – Stevens: Okay. And then in terms of the Zurich business, Powell, you talked about the margins are going to kind of evolve on that. Is there anything different in how—when you use Arrowhead’s distribution capability to go from the 150 million or so that I think that business is now to double that, that incremental dollar of revenue shouldn’t have a characteristic certainly any lower than your existing incremental margins, or maybe it should be higher? Is that fair?
Powell Brown: I think that you’re moving in the right direction.
Brett Huff – Stevens: Okay, so I’m just curious – when you say that they might be 10 to 15% margins for the first couple years, that seems like that would assume pretty minimal growth.
Powell Brown: Well like I said, we have—like I said, we have as you know, an arrangement in taking over this program which would probably have the margins stay in that area with nominal growth. If the growth is quicker, then we don’t know what those are. We’re not trying to evasive, but we’re trying to basically say this is what we know.
Cory Walker: You know, as Powell mentioned, we’ve got about $165 million in premium in this program. The people that were Zurich employees that are now going to become Arrowhead Brown & Brown employees, that is a set number. We believe that we can double that program with the folks who are now joining us from Zurich plus the folks that are currently at Zurich. We can grow that without adding anything else, and so over time as we grow the program to double, the margins will move up correspondingly.
Brett Huff – Stevens: Okay. And then in terms of—Cory, I think you called sort of an estimate on the incremental margins on the retail business, and was it 50% was kind of your assumption? Is that right?
Cory Walker: Yes, on the internal growth dollars, I’m just using a hypothetical 50%. And then on the sell business, I’ve kind of thrown in at 80%, which may be a little aggressive but—
Powell Brown: Hey Brett, I also wanted to clarify – I think the program premium is about 140.
Brett Huff – Stevens: Oh, okay. I’m sorry. Thank you.
Powell Brown: I could be wrong, but it’s somewhere in between the 140 and—let’s say, I’m thinking it’s 140. But one way or the other, it’s a very big program and we’re very pleased.
Brett Huff – Stevens: Okay. And Cory, on those incremental margins for retail, it’s that incremental margin, given that you have the distribution channel in place in retail, incremental dollars should happily mostly flow to the bottom line?
Cory Walker: That’s right, that’s right. You know, this is a little bit different than what I—the number I’m using here is kind of a conservative number, and I know that we had talked about how our leverage in retail can be higher than that on the first incremental dollar, and then as time goes on we may have to add another CSR or something like that. But for this purpose, I’m just kind of using some rounded numbers just to kind of prove out the margin growth. So you can play with it whichever you think, but that’s kind of what I’ve used right now.
Brett Huff – Stevens: Okay. That’s what I needed. Thanks for your time, guys. Appreciate it.
Operator: We’ll take our next question from Eric Fraser with Goldman Sachs.
Eric Fraser – Goldman Sachs: Hi, thanks. Good morning. Two quick follow-ups – first, on the economy. Can you talk a little bit more about the middle market? It sounds like exposures are mostly flat, but can you talk about where you’re seeing some improvement that could drive the retail growth?
Powell Brown: Sure. Let’s start by saying where is it—there are some obvious and maybe some not so obvious places where it’s challenged, and then let’s talk about where you’re going to see upticks. Remember historically, people would say Florida, Michigan, the southwestern United States, all places that we have large concentrations of business would be tough areas to operate. I’ve said earlier that Florida is starting to see a little light at the end of the tunnel, and I think it’s better. It’s not good, but it’s better. In southwest Florida – Fort Myers, Naples area, the economy is a lot tougher down there than a lot of people realize and think, because you think that there’s a lot of people that retire from the midwest that are well-to-do and therefore the economy has to be good, and it’s just not that good. Conversely, when you say—you know, when I said in the midwest, which includes Michigan, we’re seeing uptick in exposure units in a lot of our offices – you know, 4, 5, 6, 8%. So I think, Eric, to answer your question, I think it’s more of a broad-based scenario where we benefit from exposure increases in and around New York City. We benefit from exposure increases in the Pacific northwest. We benefit from in Florida anywhere. You know, the Pacific northwest was the last to go into the slowdown and they are probably one of the last to come out, and so places like Portland that have still a very significantly high unemployment rate, but businesses seem to be doing better there. I would say the general statement if I made a comment on the middle market economy of America, and I’m not an economist, is this: what we’re seeing in our customers is that they are replacing newer vehicle with older vehicles, but they are not expanding their fleet sizes, and they are watching carefully and being very, very selective on how they invest in major capital improvements in their business.
Eric Fraser – Goldman Sachs: Sure, okay. That makes sense. And then back to the bonus incentive comp plan, how much of the growth this year would you attribute to that plan? Or said another way, would growth have been lower if you didn’t have that plan in place this year?
Powell Brown: We don’t know the exact answer to that, but what is important, Eric, that you know is this: there are a lot of our teammates that have worked really hard over the last five years and they have kept every single one of their accounts, and the size of their books of businesses have shrunk because of shrinking exposure units. And so we did this for two reasons: number one, we did it to drive and stimulate growth, but we also did it for a reward for desired behavior in the sense that it’s been a tough five years in growing businesses, as you know, at least in our space, and so this was an opportunity to say thanks to everybody that’s pushing really hard in our system and give them a reward. So we haven’t broken it out, but I can tell you either way, we’re happy with the results.
Eric Fraser – Goldman Sachs: Right.
Cory Walker: And I think you’ve a producer force that is very, very focused.
Eric Fraser – Goldman Sachs: And then one last one, if I could – just in terms of the services growth there, can that pace of internal growth continue going forward?
Powell Brown: I don’t know. We’d like to think so. We’ve got some great leaders in there, but once again, it’s lumpier in that space and so I don’t know the answer to that. We think we can grow organically; we just don’t know if it can replicate those that have been released the last two quarters.
Eric Fraser – Goldman Sachs: Sure thing. Thank you.
Operator: And we’ll take our final question from Chris Likum (ph) with William Blair.
Chris Likum – William Blair: Hi, good morning. Just two quick ones for you guys – I might have missed this in your initial commentary, but on audit premiums, what kind of general trends are you guys seeing, and when do you think that could become sort of a tailwind? Are you thinking they could turn positive next year?
Powell Brown: Yeah, what we’re seeing is we’re beginning on some accounts to see additional premiums, which is positive, and we’re not seeing as many significant return premiums. So I’ve said starting early part of this year, Q1, Q2, that it’s really about a 16-month lag as you—well, 14 to 16 month lag, Chris, as you know, because if you bind an account in April of this last year, then it renews next April and the carrier had May and June to go out and do the actual audit, so it’s going to be 60 to 90 days after that that you have the additional premium. And all of those are not concurrent or April 1 or October 1. They come in April 15, April 1, April 30, any time you have an effective date. So I would say that the trend, if the economy continues to do what it seems to be doing, if it continues to perk along and go up, I think that’s positive on that.
Chris Likum – William Blair: Okay, great. And then just wanted to get into benefits real quick. What general percent would you give as a percent of total retail business is the benefits practice, and then what sort of demand environment are you seeing on that front, and that is a headwind or a tailwind for organic and retail business?
Powell Brown: Okay. Last year we did $608 million of core revenue in retail. There was 190 million of employee benefits in there. This year, we’re probably on a run rate of about 230 in employee benefits.
Chris Likum – William Blair: Okay.
Powell Brown: That’s number one. Number two, we think employee benefits right now is a very positive thing to internal growth. We are talking to all of our existing customers and specifically new customers about it because there’s all kind of confusion around healthcare reform and what happens when, and who does what and who’s responsible for what, and how do I get fined if this happens or do I get fined. And so a lot of it is we have to hold our customer’s hand, which is what we do, and educate them and walk them through the process to get them what’s in the best interest of their teammates. And so we see it as a very positive thing.
Chris Likum – William Blair: Great. And then you said rates were contracting in the small lives market. How much of your benefits business would you put in small lives, or it’s just—
Powell Brown: No, no, not contracting. I said they were up 5 to 10%.
Chris Likum – William Blair: Okay. I thought you said there was pressure on rates in the small.
Powell Brown: No, pressure upwards – sorry. Upward pressure, I meant. Yeah, but I’m going to answer the question specifically. Of the $190 million of revenue last year, about a third of that business was ancillary business, so call that group life, group dental, group vision, disability, et cetera. Of that two-thirds that are left, just over half of that is large group – that’s in excess of 50 lives. So just slightly less than—let’s call it just slightly less than a third of that business is smaller group, and so depending on the part of the country you’re in, some of that business used to be on commission, and we’ve seen a lot of that move from a commission-based business to a per-head, per-month, so the only way we get more revenue is when they add new teammates. That’s number one. Number two, we are seeing in smaller businesses, particularly blue collar businesses, where people are just dropping the coverage. They say – I know this sounds crazy – they just say, let the government figure it out, and that’s real. I’m not making that up. So there are people that are good, hardworking citizens, but they basically say this is just too crazy and they just drop the coverage. We’re seeing that too.
Chris Likum – William Blair: Okay, very helpful. Thanks a lot.
Operator: And there are no further questions. I’d like to turn the conference back over to our speakers for any additional or closing remarks.
Powell Brown: Yes, thank you Lisa. No additional remarks. I hope everybody has a wonderful quarter and we look forward to talking to you after Q4. Good day.